The9 Q4 2005 Earnings Conference Call Transcript (NASDAQ:NCTY):
Executives: Jun Zhu, Chairman and CEO   Hannah Lee, Chief Financial Officer   Dahlia Lee, Senior Investor Relations Manager
Analysts: Antonio Tambunan, Bear Stearns   Stephen Ng, Cazenove   Jason Brueschke, Citigroup   Wallace Cheung, Credit Suisse First Boston   Dick Wei, JP Morgan   Lu Sun, Lehman Brothers   C. Ming Zheo, Susquehanna
Dahlia Lee, Sr. Investor Relations Manager: Thank you. Hello everyone and thank you for joining us today for the The9 fourth quarter and fiscal year 2005 financial results conference call. The management with me today are Mr. Jun Zhu, Chairman and Chief Executive Officer and Miss Hannah Lee, Chief Financial Officer and we have a translator for the Q&A Session. Before we start, I would like to make a couple of statements. During the course of this call, certain projections or forward looking statements may be made regarding The9’s future financial performance or future events. We wish to caution you that such statements and predictions are based on current information and expectations and actual results may differ materially from those projected in the forward looking statements. We would also like to refer you to the documents that the company files with the US securities and exchange commission. Those documents contain additional information and factors that could cause actual results to differ materially from those contained in the management projections or forward looking statements. Let me know turn the call over to Mr. Zhu, our CEO, who will provide you with an overview of our recent 4th quarter and fiscal year.
Jun Zhu, Chairman and CEO: Good morning and good evening ladies and gentlemen, I would like to thank you for participating in our review of The9 Q4 and fiscal year 2005 earnings. First, I would like to present a quick overview of the key financial highlights for the fourth quarter and fiscal year 2005. The 4th quarter was again a good quarter for our operations of in China markets. Net revenue for Q4 was US$26.3 million, representing 15% quarter over quarter growth. Net income was US$8.5 million, or earnings of US$.55 per ADS.  For the fiscal year 2005, net revenue was US$55.6 million, representing 1,239% year on year growth. Net income was US$9 million or earnings of US$.76 per ADS. Now let’s discuss the development of our online game business. For the fourth quarter we obtained WOW users of approximately 530,000, and average users of 217,000. In each month of the fourth quarter, our PCU numbers grew sequentially month over month. As of December 31st of 2005, there are over 3.3 million registered WOW accounts.  And WOW will continue to enjoy high popularity in the first tier cities in China. We’ve got to implement strategic marketing plan to increase our penetration into second and third tier cities. On the infrastructure side, we are working with well-known hardware manufacturers to assist internet cafes all over china to operate the hardware configuration. Recently the ministry of culture has announced to the internet café industry IT hardware manufacturers, including Intel, Denoble and TCL are very actively involved. We also introduced a member get member program. We believe this government initiative together with our marketing campaign will improve WOW’s penetration in 2nd and 3rd tier cities all over China.  In the fourth quarter of 2005 our job graphics show initial progress. We are happy to see that on November 8th, the center of which we own 30% commercialized the WOW game in other greater China regions.  In general in 2006, not only did we open up in in Beijing, we also introduced WOW upgrade version 1.9.0 NQR to China. The launch of the six sites and upgrade enhanced the user experience and attracted more players to join the WOW family. Another significant upgrade crusade is under process. And after official launch schedule and user feedback, we will later decide our launch schedule in China.  In the vision to WOW’s continued success in the fourth quarter of 2005, we added an important new game title of the ultimate nature, to enhance our overall portfolio. Sun is a highly anticipated Korean 3D MMORPG game and we obtained the exclusive license to operate it in China for 3 years after it’s initialization. Sun is currently in the beta testing stage in Korea and according to Sun’s level which is approximately 53,000 during this stage.  PD, another licensed Korean and MMORPG game, is currently in open beta testing in the Korean market. GE is the first dramatic growth controlling MMORPG game, allowing each user to control up to (inaudible) within the game. Thus it is highly anticipated by Chinese gamers. Both Sun and GE are classic MMORPG games. If we take a look at the contest game market in China, most of Chinese online game players are very enthusiastic about and also very used to this type of Korean game. Given the large absence of new classic Korean games available in the market, we expect that Sun and GE will be well-accepted by Chinese hard core game players who have been waiting for such games fresh out to the market.  With successful operation of WOW and MU, as well as the exclusive operating license of top Korean games like Sun and GE, we believe that the (inaudible) edition as the (inaudible) of choice in China for foreign games is further established. Now let me talk about our in-house games. Our Joyful Journey West is in open beta testing and we have another 3D MMORPG game that is currently under development. Now let me briefly review the fiscal year 2005 and our going forward.  In 2005, we successfully launched WOW and had seen 2 quarters of strong operational performance. Our creative co-marketing campaign with Coca-Cola in the 3rd quarter of 2005 has successfully attracted Chinese gamers’ attention and produced substantial market influence. As mentioned in last quarter’s conference call, our long term strategy can be described as two shoes and one beer. One shoe is our corporate licensing game operation business and we position ourselves as the partner of choice in China for foreign games in China. The second shoe is our ongoing (inaudible) in in-house game development. So far we have only online game companies that have active participation in game operations in overseas markets. We believe our focused strategy and our strong execution ability and commitment from management to employees will enhance the long term value. Now I would like to give the microphone to Hanna Lee, our CFO, who will provide you with more detailed discussion of our fourth quarter and fiscal year 2005 financial results.
Hanna Lee, CFO: Thank you Jun and hi everyone. I’d like to take you through a review of our fourth quarter and fiscal year financial results. Rather than run piecemeal over each item, I will focus on the key points. In the fourth quarter of 2005, we saw WOW’s average revenue per user hour, ARPU, improve slightly from 2.35 RNB to RNB 2.36 in the fourth quarter. For the 4th quarter of 2005, the non-reported net revenue of US$26.3 million, an increase of $15 million from the 3rd quarter of 2005. for the fiscal year of 2005, net revenues increased by 1,239% to $56 million US from $4.3 million in the fiscal year of 2004. the increase is mainly due to significant growth in revenues from online game services and the result of operations of China, which commenced in June 2005 and continued through the 3rd and 4th quarter of 2005.  (inaudible) revenue accounted for $3.62 million and $56.4 million for the fourth quarter and fiscal year 2005, respectively. Gross profits grew 5% sequentially to US $12.1 million to gross margins of 46% in the fourth quarter, compared to 50% in the 3rd quarter of 2005. This decrease was primarily because we reported three months of (inaudible) asset amortization, related to The9’s acquisition of remaining 31.1% interest in the (inaudible) in China and 4th quarter depreciation relating (inaudible), which was added in the third quarter, compared to only one month of touchdown penetration in the third quarter of 2005. For fiscal year 2005, gross profit improved 728% to US$27.8 million from US$2.2 million in 2004. This year over year increase in gross profits was primarily due to improved revenues from the operation of (inaudible) in China. At the operating level, we reported a profit from operations of US$6.5 million, a 4% improvement from $6.2 million in the 3rd quarter of 2005. for the fiscal year 2005, we reported a profit from operations of US$7.4 million, compared to a loss from operations of $1.2 million in 2004. This significant improvement was also primarily due to the commercialization of WOW in 2005. Net income for the fourth quarter was $8.5 million, an 81% increase from $4.7 million in the 3rd quarter of 2005. Net income for the fiscal year 2005 was $9 million, a 196% increase year over year from $3 million in 2004. I’d like to note two items included in our net income for the fourth quarter of 2005. first, we received a financial subsidy of approximately $1.7 million from the local government in connection with taxes we previously paid. In accordance with accounting policy, we reported this financial subsidy as part of income upon receipt. Secondly, we sold 21% of our equity interest in a joint venture between The9 and that currently operates a . The 21% interest was sold to websense and thus reducing our equity interest in from 51% to 30%.  We recognized approximately 0.8 million US gains (inaudible). Adjusted EBITDA for Q4 was US$13.5 million compared with adjusted EBITDA of $6.2 million in the 3rd quarter of 2005. On a per share basis, adjusted EBITDA per share was $.56 for the fourth quarter, compared to $.29 for the previous quarter. Adjusted EBITDA for the fiscal year of 2005 was $18.8 million, compared with an adjusted EBITDA of $4.1 million in the fiscal year of 2004. On a per share basis, adjusted EBITDA per share for fiscal year 2005 was $.76 US, compared to $.28 for the fiscal year 2004. Fully diluted earnings per ADS was $.35 for the fourth quarter of 2005, compared to $.19 for the previous quarter. With this, I would like to thank you for your attention and we’re now ready to take your questions.
Operator: Our first question comes from Jason Brueschke of Citigroup.
Jason Brueschke: Thank you. Good morning and congratulations on really a fantastic quarter everyone. I have a couple of questions. May I start with maybe a general question about the competitive landscape that you’re going to look at in 2006? There’s a number of new games that are going to be coming from competitors such as NetEase and Shanda that will be 3D games and could you maybe comment on how you think (inaudible) is positioned as well as Sun and GE? Thanks.
Jun Zhu, Chairman and CEO.: Well, let me first comment on WOW. As you remember, back in the year 2004, I said that thinking about the future trends of online games in China, at that time starting from the year 2005, 3D MMORPG games will be an obvious new trend in the China market. Now we see overwhelming success of WOW here. We can see that many companies have been convinced and are now moving their focus to 3D MMORPG, which shows that that forecast I said in 2004 was very correct. And during the IPO, I talked to the analysts, I explained there were 2 reasons why I believed that WOW would definitely be a very big success. The 2 reasons were first, WOW consumers in Korea, Europe and the US and the second reason is that the PC-based version had 6 million users, so that was also a foundation for the future success of WOW.  And in the statement I made just now, according to the Q4 numbers, WOW has 3.3 million users, which is still far below the 6 million of the PC version users number. So those do have a far way to go. And I would like to draw your attention to the fact that a few months ago when WOW’s number of users was at 1.5 million. At that time the peak component user number was 460,000. Now the total number of users is at 3.3 million, you have the PCU number is a little bit higher, but still at 530,000. So that shows that in 2nd tier cities, we still have a lot of potential to grow. And also another issue comes to our attention. We realize that many users are spending relatively little time on WOW. But this year, (inaudible) is launching a new video or sample video of WOW, so I believe that many old users and the new users will be very attracted and the time they spend on WOW will increase. (Inaudible) registration for way of calculating the potential of WOW. Now let me comment on Sun and GE. And also, during my initial statement I said that in 2003 MU user was 300,000 and MU2 user was 1.2 million. So, the total number of users for these two Korean games, back in 2003, reached 1.5 million users. These numbers show that there is a big group of fans fro Korean games at the moment in the Chinese market there is no Korean developed game for these users. So we believe that as we launch Sun and GE, which ostensibly ranked #1 and #2 in Korea, so they were very successful in Korea, we believe that Sun and GE will attract a lot of Korean game fans in the Chinese market. And The9 is pretty strong in marketing and in channel management. So this year we will be very much focused on WOW, Sun and GE. These three games will be our main focus and we will do our best job to make them very successful.
Jason Brueschke: Two other questions quickly: could you tell us what the launch dates are anticipated for GE and Sun? When do you think they will go into open beta?
Jun Zhu, Chairman and CEO: Well, the schedule…the final schedule will depend very much on the open beta testing results in Korea and also on the actual situation of the Chinese market. Currently, according to the Korean company, the peak component user has reached 53,000, which is a pretty high number for open beta testing games in Korea.  For GE open beta testing in Korea, we don’t have statistics numbers, but we’ve heard that it has been very successful.
Jason Brueschke: As a follow up, do you anticipate they will be released in 2006? These two games by The9 in China?
Jun Zhu, Chairman and CEO: I would like to reserve my opinion to that. It will depend on our talks with the Korean company and us. We’ll work with the developers of these two games to launch these two games at the earliest data in China.
Hannah Lee: Hi Jason, it’s Hannah. I think we will probably have to leave more time for others.
Jason Brueschke: Yeah, that was it.
Hannah Lee: Yeah, you can go back to the cue.
Operator: Your next question will comes from the line of Wallace Cheung of Credit Suisse.
Wallace Cheung: Thank you. A couple of questions. First of all, can you give us guidance of the trend of first for the fourth quarter and secondly in the first quarter ’06? Do you see a sequential growth trend, especially after . And the second question is, I think regarding on the subsidy, should we expect…is it a recurring income that we should expect in 2006? 
Jun Zhu, Chairman and CEO: We try to answer your question, but the second question, could you repeat.
Wallace Cheung: Basically, you have received around $12 million from a subsidy from the government. 
Hannah Lie: I’ll answer after Mr. Zhu answers your first question.
Jun Zhu, Chairman and CEO: In Q4 2005, the number of WOW users showed very steady growth. But you know, during the Chinese New Year, during that two weeks we observed some unsteadiness and slowdown of the growth from jobs, because many game players will go back to their hometown.  But, just one week after Chinese New Year, the PCCU of WOW started to grow significantly and now we have recorded the highest number of PCCU of the WOW. Hannah will answer your second question.
Hannah Lee: Wallace, we received $1.7 million US financial subsidy in Q4 with respect to the business tax that we paid in Q2 and Q3, basically from 2 onward because we commercialized World of Warcraft in June. As I said, in the earlier part of the earnings call, we recorded the financial subsidy as revenue upon receipt. Usually we receive the financial subsidy at least 2-3 quarters behind when we actually pay them. So, although we record it when we receive it, we don’t expect that in Q1 we will have such kind of subsidy. It’s all depending on the when the government pays us the cash and when they’re received in our account and that’s when we report the revenue.
Wallace Cheung: I just have a quick follow up. PCU is doing quite well. Do we have the figures that and also about the ACU figures, say after the Chinese New Year, we see the ACU figures bounce back to normal. 
Jun Zhu, Chairman and CEO: I’d like to add that if you ask me about the ratio between ACU and PCCU, the trends that we experienced after Chinese New year, both ACU and PCCU have increased over what we experienced in Q4 of 2005.
Hannah Lee: And after Chinese New Year, our PCCU has reached a new high, it’s also growing after the Chinese New year. Currently, it’s 560,000.
Operator: Your next question will come from Antonio Tambunan of Bear Stearns.
Antonio Tambunan: Hello? Can you hear me? I just want to ask a couple of more detailed questions than Jason and Wallace asked. The growth in WOW in terms of PCU and ACU. What drove that? Did the referral marketing plan you guys recently launch have anything to do with it or was it just generally the markets, the players keep on coming? What drove the growth? And do we see a flattening in the single digit growth going forward for the next 2-3 quarters for WOW?
Jun Zhu, Chairman and CEO: I’m afraid we cannot disclose any forecast of the future percentage growth numbers here. But I want to make 2 points here. First, the growth of ACU and the PCCU of WOW I think is driven by the recent upgrade of its content. Secondly, it’s driven by The9’s marketing efforts in 2nd tier and 3rd tier cities. We have been launching and very effective marketing campaigns in these 2nd and 3rd tier cities. And, we will roll out the brand new map of WOW. I believe that with the rollout of the new map of WOW, the new users and old users of this game will re-experience the passion of this game. 
Antonio Tambunan: And when is the rollout for this new map?
Hannah Lee: Antonio, I think you are referring to Burning Crusade?
Antonio Tambunan: Actually I was just referring to the comment she made. Was she referring to burning crusade or was this a new map, like a small version update?
Hannah Lee.: I’m sorry, which upgrade are you referring to?
Antonio Tambunan: She just mentioned that the new map rollout would bring in more new users. Were you referring to Burning Crusade or were you referring to another miniature map that’s coming in before Burning Crusade?
Hannah Lee: There are going to be small upgrades along the way. As you know, now we’re up to 1.9. But, what our Chairman was just referring to was specifically relating to Burning Crusade.
Antonio Tambunan: Okay, got you. My only other question then is on…do we have any statistics on how WOW is doing in Taiwan? What trends have you seen since it went commercial and what numbers are out there?
Jun Zhu, Chairman and CEO: Well, the statistics released by technology company unlimited, which his a company that we have equity investment in, according to their information, which was released in December 12th, 2005, at that time the peak user number of WOW in Taiwan was 120,000 and in the first day of its launch, the packages were sold at the number of 18,000. 
Antonio Tambunan: Okay, thank you.
Operator: Your next question will come from Lynn Sheet of Lehman Brothers.
Lu Sun: Hi, this is actually Lu Sun calling from Lehman. We’re very happy to see the good results in the 4th quarter. Just a couple of follow up questions. How is the penetration into the 2nd tier and 3rd tier cities going? And can you give us some statistics like how many of your subscribers are actually coming from these places and whether you encounter more competition in these places. And secondly I want to ask more about the cost structure. There seems to be a pretty big decrease in the sales and marketing spending, but an increase in T&A. We want to know what you think will happen in the 2nd half of this year when you introduce more titles. Thank you.
Jun Zhu, Chairman and CEO: You asked about the percentage of users coming from 2nd tier and 3rd tier cities; I’m afraid we cannot disclose this number. I can answer your question about competition in these markets. We know that whether a game is successful in this market of China, it depends very much on the content of the game. So, only with good content plus good marketing and good distribution channel can we get good results of operations. So if the content is average, even if marketing and distribution channel is excellent, I’m afraid the result will not be very good. Now with WOW we are very lucky that this game in terms of content is a very excellent game. And we have seen that our marketing efforts have been effective and our control of distribution channel is pretty strong. So I believe that leading forward to 2007, the next few years will all be very successful years for WOW.
Hannah Lee: Lu, with respect to you question about cost structure in relation to the launching of new games, for Q4, we did spending about in marketing expense, which was comparable to what we spent in Q3, considering Q3 was actually the first quarter after we launched World of Warcraft. Q2’s marketing was , Q3’s was about $1.2 million and Q4’s was about $2.9 million. Those are in respect to the stages of when the game is. Q2 of course we spent more because we have open beta, closed beta and commercial launch all in one quarter. With respect to increase in general and administrative expenses and also marketing expenses, depending on when we will launch Sun and GE there will be a corresponding increase in marketing. Of course in the premarketing stage, before commercialization of the game – just like World of Warcraft – there will be single-sided expenses without any revenue coming in, but that is for long term purposes whereby we increase the awareness of the gamers and it will on a long-term basis bring profitability to the company and also increase the revenue on the long run. For G&A expenses, we are not expecting a significant increase in general and administrative expenses for this year, 2006. 
Lu Sun: On the headcount side, what is the current status and how many people do you envision to add in 2006 to handle the new game launches?
Hannah Lee: We currently have about 900 staff. Of course that’s comprised mainly about 600 are in the customer service department. As we launch new games we will definitely add more customer service staff. Depending on what the ratio is required as to how many customer service staff is required for the currency levels of players, we will be adding customers service staff accordingly. But other staff, other than customer service staff, we will not have significant increase in those areas.
Lu Sun: Okay, thank you very much.
Operator: And your next question will come from the line of Steven Ng of Cazenov.
Steven Ng: Good morning. I’ve got 2 questions. Number one can just update on the Satik system and number 2, can you tell us about the capacity of your sixth server and when are you likely to open up the 7th server? Thank you.
Jun Zhu, Chairman and CEO: During our Q3 earnings call conference I commented on the Satik system. At that time I said it was too early to analyze an impact of the Satik system. I said that the actual impact of the Satik system will depend on how the CEO and CFO and how they manage and drive their policies. Now, if you ask me this question I would say that according to our observation the impact of that Satik system on WOW so far is very limited and maybe it’s too early to analyze the long term impact of that policy on the game. And to answer your second question, our sixth site was only a half launch. So that half, which is now being used, is doing pretty well. And we don’t have a finalized schedule for launching the 7th site. 
Steven Ng: Thank you and congratulations on a good quarter.
Hannah Lee: Thank you Steven.
Operator: Your next question will come from the line of Dick Wei of JP Morgan.
Dick Wei: Hi, congratulations on a good quarter. I have 2 questions. The first question is that your (inaudible) expense was slightly up for the 4th quarter. I wonder what is your R&D (inaudible) and also what’s the R&D expectation going down to ’06 and ’07? And my second question is relating to The9 website joint venture. I wonder if The9 website joint venture were going to launch new games. Can you ensure you get the new game operating support fee for the new game as well?
Hannah Lee: Thanks Dick for your question. With respect to your first question for R&D expenses, we currently still have around 40 in-house R&D staff which mainly developed our first in-house developed game The new games that we mentioned in the earlier part of the call, which is a 3D analog PG that we’re developing, we are actually using the outsourcing route for development instead of increasing our in house development staff headcount, we opted to use the outsourcing route that minimizes our costs and we think that is the best way to carry our R&D development strategy. We are, with respect to 2006 expectations for R&D expenses, we are going to keep it quite similar to what we spent in Q4, around $1-$1.5 million for the quarter. We’re not going to significantly increase that. And the game that we’re developing, the 3D MRPG is actually in time for the 2007 pipeline.  With respect to your 2nd question relating to Websend, we did reduce our interest from 51% to 30%. Potentially in the future it will be operated through this joint venture, but currently we are not at liberty to comment to that respect.
Dick Wei: I guess for The9's new games operation, if there were any games to be operated, would you still be able to generate the game operating support revenue or that’s only for (inaudible)?
Hannah Lee: Right now I think you’re referring to the 10.5% of game operating support piece that we get for (inaudible). For new games, if another game is going to be operated by MU and our assistance is required, then we will discuss the management and we will definitely get reasonable compensation for it.
Dick Wei: Great. Thank a lot.
Operator: Your next question will come from the line of Ming Zhao of Susquehanna.
Ming Zhao: Thank you. Good morning and congratulations on a good quarter. I have a question about the ACU, PCU and the ARPU. Your revenue on the game is growing faster than the PCU grows and also the ACU growth rate. Can you comment on the ARPU? Do you see an increase in ARPU going into Q1? And if you could, could you please comment on the ACU vs. PCU ratio into the first quarter? That’s my first question.
Jun Zhu, Chairman and CEO: The numbers for Q4 are the following: for WOW PCU was over 530,000, ACU was over 270,000 and ARPU was at 0.36 R&B. And for Q1, following the one week up to the Chinese New Year, the PCCU reached 560,000.
Ming Zhao: Okay.
Jun Zhu, Chairman and CEO: And for the Q4, you asked about the ACU/PCU ratio. We believe that the ratio continued to be the same as in the last few quarters.
Ming Zhao: And very quickly, last question about your deferred revenue. There’s a substantial increase in that item. Could you comment on that please?
Hannah Lee: I think if you look at deferred revenue, you basically have to look at 2 numbers together. One is advance in customers and the other is deferred revenue. The 2 numbers are actually represent the game and the distribution channel. The advance in customer line items represents enhanced and the deferred revenue line items are the values that the individual players have charged to the individual (inaudible). So I think you have to look at the two numbers together. More or less, if you add the two number together, in Q3, the two numbers were about $15.8 million and in Q4 the two numbers add together, it’s about $16 million. So it’s relatively the same. It’s quite stable. $17 million exactly. We are actually increasing our sales. There’s a lot of demand from the distributors trying to buy our cards to get them into the inventory in anticipation to support demand from the players. 
Ming Zhao: Thank you very much.
Operator: Your next question will come from William Bean of Deutsche Bank.
William Bean: I just wanted to understand the impact of the promotion on your ARPU in Q1 and Q2.
Hannah Lee: Thanks for your question. ARPU, I want to clarify that. ARPU is a mixture of a few factors. It is effected by distributor discount, the amount of free hours or the promotions we give. So, the distributor discount is always negotiable with the distributors. With the significant demand from the players for game cards, we are gradually being able to decrease our distributor discount gradually and we are experiencing more sales with respect to the sales channel of direct sales, where the commissions that we need to give are relatively lower compared to the traditional channels of virtual cards and physical cards. The amount of free hours that we give on a short term basis might have a negative impact on the ARPU, but depending on what type marketing campaign we launch. For example, if you’re looking at our member-gets-member program whereby we only give 33 hours free for the old players that bring a new player in, the amount new revenue that was brought in by the new players is actually higher than what we had to give out. Because the net expense to us is actually the 22% royalties that we have to give. So I think with respect to increasing our ARPU or keeping our ARPU stable, it’s a mixture of the two factors that I just mentioned.
William Bean: Okay, and can you give us a sense of guidance on option expense going forward?
Hannah Lee: Option expenses, I cannot give you specific number with respect to the option expenses we will record in 2006. but based on the latest calculation, because our options are all at market price, we will be recording approximately $500,000 a quarter.
William Bean: Thanks and just one last quick one following up on the other guys’ questions. When do you expect, did you mention when you expect to launch Burning Crusade as well as the new games?
Jun Zhu, Chairman and CEO: In talking about the Burning Crusade, we are working closely with Blizzard. You can refer to the official . We’re working with the Korean developers of GE and Sun to finalize the schedule for launches. 
William Bean: Okay, thanks guys.
Operator: That concludes our question and answer session. I would like to turn the call over to Dahlia Wei for closing remarks.
Dahlia Wei: We would like to thank you all for participating in today’s call. Please feel free to contact us is you have additional questions. Thank you.
 